Operator: Good morning and thank you for joining us today to discuss Odyssey Marine Exploration’s First Quarter Results ended March 31, 2015. My name is Danny and I will be your conference operator this morning. With us today, we have Mark Gordon, Odyssey’s Chief Executive Officer and President as well as Philip Devine, the company’s Chief Financial Officer. Following their remarks, we will have a question-and-answer session. Please remember to submit any questions via the webcast player or email them to ir@odysseymarine.com. Again, that’s ir@odysseymarine.com. In addition to answering written questions, we will also take a studio [ph] call-in questions at the end. The company may not have time to answer everyone’s questions, but if you submit your question via the webcast system or email, the company will respond to all remaining questions via email after the call. Then, before we conclude today’s call, I will provide the necessary precautionary regarding forward-looking statements made by management during the call as well as a special note U.S. investors regarding the closure of mineral deposits as referenced in the SEC’s industry guide number 7. We would like to remind everyone that today’s call is going to be available or replayed through June 11, 2015, starting later this morning. A webcast replay will also be available via the link provided in the company’s earnings release as well as available on Odyssey’s website at www.odysseymarine.com. Now, I would like to turn the call over to CEO, Mark Gordon. Please go ahead, sir.
Mark Gordon: Thank you, operator. Good morning everyone. Thank you for joining us for today’s call to discuss Odyssey’s first quarter 2015 results. As a reminder, if you’ve not already submitted questions, you can still do so throughout today’s call by the web interface described by the operator at the outset of this call or by sending an email to ir@odysseymarine.com. In addition to answering some written questions, we’ll also take a few call-in questions at the end of this call. Hopefully, everyone has had a chance to review Odyssey’s first quarter 2015 results that were released earlier this morning. While the most significant news of the quarter was the announcement of the strategic financing transaction with Minera del Norte or MINOSA and their subsidiary Penelope Mining which we’ll talk more about later, we have also reduced overhead, operation and research expenses and net cash outflow significantly compared to last year. Philip will walk us through the financials in more detail in a moment. Later in this call, I’ll go into detail about several upcoming events that are on the horizon for Odyssey in 2015. An update on our projects, progress on the Don Diego project, that financing agreement with MINOSA, an owner and operator mines in vertically integrated processing facilities who we believe will be an important strategic fit for Odyssey’s offshore mineral and resource exploration business. Before I get in to the business developments further, I’d like to turn the call over to our CFO, Philip Devine who will walk us through the financial results for this quarter. Philip, I turn the call over to you.
Philip Devine: Thank you, Mark. This morning I will cover some of the financial highlights from the first quarter of 2015 but I encourage everyone listening to this call to read our SEC Form 10-Q which was filed earlier this morning. In the first quarter of 2015, we entered into a material financing agreement with MINOSA that has been submitted to our shareholders for the June 9 shareholder’s meeting. I will not be covering the details of the proxy statement but the full document is available on our website and with the SEC Schedule 14a filed on April 29. Now, let us review some of the first quarter figures. Total revenue in the first quarter of 2015 declined in comparison to the same year-ago quarter due to the fact that in 2014 we generated revenue from the sale of the gold that was derived from refining the silver bars [ph] recovered from the SS Gairsoppa in 2013. In the first quarter of 2015 we did not have revenues from the SS Gairsoppa project. Most of our revenues in 2015 have been from the sale of our inventory of SS Republic coins. We continued to generate a nice gross margin on the cargo items we sold. However, our cost of goods increased in the first quarter of 2015 because we took a write-down on part of our inventory that is composed of silver bars [ph] that are heavily dependent on the world’s spot price of silver. Marketing, general and administrative expenses remained unchanged at $3 million in the first quarter of 2015 as compared to the same year-ago quarter. Had it not been for some one-time professional expenses related to the financing deal in the first quarter of 2015, we would most likely have seen a decline in marketing, general and administrative expenses in 2015. Our largest line item for operating expenses called operations and research expenses decreased by 53% or by $3.7 million compared to the same year-ago quarter. This line item includes the cost associated with our vessel operations, vessel charters, marine and technical crews, researchers, archeology and conservation services and mineral exploration activities. The decrease in operations and research expenses by 53% in 2015 is primarily due to savings from the termination of a Dorado Discovery vessel charter in August 2014 and from lower cost from mineral exploration activity. In the first quarter of 2015, Odyssey had a non-cash expense of 2.5 million related to the common stock issued for a stock option settlement in our Oceanica subsidiary. The settlement involved the exchange of 4 million shares of common stock of Odyssey or make a resources call option on 6 million Oceanica shares by Odyssey. We did not have a similar expense in 2014 and we do not expect a similar expense in other quarters of 2015. Despite this 2.5 million expense in 2015 related to the settlement of the call option on our Oceanica shares, we reduced our total operating expenses by over 1.1 million or by 11%. Without this 2.5 million expense, our total operating expenses would have been reduced by 36% or by over $3.6 million. Now, let me review certain balance sheet line items and cash flow items. Our cash and cash equivalents balance at March 31, 2015, was approximately $700,000. This balance included the initial loan amount of $2 million received from MINOSA on March 11, but excludes the ensuing $9 million of loan amounts received from MINOSA subsequent to the end of March 2015 and through the date of this conference call. Just to be clear, through May 11, 2015, MINOSA has provided $11 million of cash financing to Odyssey, only 2 million of which is reflected in the consolidated financial statements of March 31, 2015. In the first quarter of 2015, we sold one of our buildings for $850,000 and retired the associated mortgage loan of $550,000. Operating cash flows improved by $6.2 million in 2015 or by 52% mainly due to lowered operating cash cost and an increase in payables. Investing cash flows improved by $2.4 million or 151% due to the sale of a building in 2015 and to lower capital expenditures in 2015. Financing cash flows improved by $4.5 million or 131% due to the initial $2 million loan from MINOSA in 2015 as compared to loan repayments in the first quarter of 2014. Finally, in terms of total net cash flows for the quarter, there was a total of net decrease in cash of $2.4 million in 2015 compared to a total net decrease in cash of $15.6 million in the same year-ago quarter or an improvement of 84% overall. Subsequent to March 31, 2015 or the end of the first quarter, there have been two subsequent events that are worth highlighting. The first, as already mentioned, is the fact that we have received additional cash loan amount from MINOSA of $9 million in April and through the date of this conference call. The second is the fact that we have negotiated an extension until December 17, 2015 on our shipwreck cargo loan with our bank. This loan was originally scheduled to mature last week on May 7. The amendment to our loan agreement was filed with our SEC Form 10-Q earlier this morning. Now, I’ll turn the call back over to Mark.
Mark Gordon: Thank you, Philip. Odyssey’s deep sea expertise and equipment is used in three key areas, archeological shipwreck excavation, cargo recovery and mineral exploration. Let’s start with the shipwreck exploration side of our business. As some of you have probably noticed from AIS tracking, the Odyssey Explorer has backed out on the high seas after completing her annual dry-dock where a number of routine inspections and surveys were performed to get her ready for 2015. Our time in port was longer than anticipated in order to take care of some necessary repairs for the ship and some significant upgrades to the ship’s systems. As you may know, the Odyssey Explorer was originally launched in 1972 and her early history includes service during the Falklands war. While she’s an extremely stable and economical platform and have served us very well over the past 12 years, it’s become increasingly difficult to source repair and replacement parts. On the other hand, the fuel burn rate for the ship is relatively efficient compared to ships with similar capabilities. We’re currently evaluating options for alternate work platforms in the future. While I can’t get into much detail about what the Odyssey Explorer has been doing these past few weeks, I can say that the offshore team is back to peak operating efficiencies and are working around weather windows in the North Atlantic. Our goals during the past 30 days were to test and refine the capabilities of our new 6,000 meter deep-tow multi-beam search system while conducting operations to locate four interesting and potentially valuable 20th Century shipwrecks and to conduct reconnaissance operations on a previously located potentially valuable 20th Century bullion target. I’m happy to report that the tested systems are working well. The offshore reconnaissance work on the previously located bullion wreck was completed. The team believes that they’ve located all four of the newly targeted shipwrecks and they were able to complete initial reconnaissance on two of these four wrecks. The purpose of this recon work is to determine the condition of the targets and the equipment that may be needed for recovery operations. After the Explorer returns to port, depth-based analysis of the data recovered and other research will be evaluated to determine if some or all of these targets are economically feasible to advance to the recovery phase. As with all of our operations, when appropriate to do so for the safety and security of the project and our crew we’ll provide a more robust operational update. So for now, all I can say is stay tuned. I do not have any new news on the Central America project but I can assure you that we are moving closer to monetization of the Central America cargo recovered last year. The court-appointed receiver for Recovery Limited Partnership, RLP, is awaiting a final court ruling in the SS Central America case. In the Virginia admiralty arrest, there remains only one claim unappealed. The oral argument for this final claim is scheduled for this Wednesday. The claim was dismissed at the trial court level. The district court with jurisdiction over the admiralty case and the shipwreck itself has already ruled that RLP is the legitimate party in interest and salver in possession. Our interest falls under the Ohio court-approved contract with RLP. So once their rights are finalized, we will be able to execute the agreed and approved monetization plans specified in that contract. Although the ongoing delay on the victory project is disappointing, the Maritime Heritage Foundation believes the issues will be resolved soon so that we may begin archeological recovery at the site in accordance with the approved project design. We have submitted our application to the U.K. Marine Management Organization, MMO, seeking a permit for regulated activities related to the Victory project. We’ve been told to expect the approvals necessary to proceed in the coming months. As I’ve said in previous calls, we will not have our ship or crew sit around waiting for these approvals. We plan to focus on projects that will be fruitful for the company and our shareholders. So if the go-ahead takes longer than expected, we’ll move to other projects or ventures while the bureaucratic process is completed. Turning to our Don Diego phosphate project, at their request, we recently submitted to the Mexican Secretary of Environmental and Natural Resources or SEMARNAT, additional information and responses to their questions stemming from the environmental impact assessment, EIA, originally submitted several months ago. In addition to providing supplemental scientific information and studies, the response included additional mitigation and economic considerations to reinforce the commitment to the community and to responsible corporate stewardship of the environment. We’ve been told to expect to receive the results of SEMARNAT’s evaluation of the EIA during the second quarter of 2015. Additional processing tests and engineering reviews have been conducted during the past few months and we remain more optimistic than ever about the project and what it will mean for the future of Odyssey and ocean mining in general. Now I’d like to take some time and talk about the bigger picture and the future of our company. If you haven’t already, you will soon receive your proxy statement and voting instructions. We urge you to join Odyssey’s management team and board of directors in voting for all of the proposals. If you need assistance voting your proxy, please contact the company’s proxy solicitor, Okapi Partners, at 1877-259-6290. This number can also be found in your proxy statement. The strategic financing arrangement with investor Minera del Norte, MINOSA, and Penelope Mining LLC, its wholly-owned subsidiary has the potential to provide us with the capital necessary to begin harvesting our portfolio of deep ocean projects. I want to again emphasize that Odyssey’s management team and board of directors spent considerable time exploring all of the options available to the company prior to making the decision to move forward on the transaction with MINOSA. Collectively, we believe that this transaction is the most beneficial and best strategic fit for the company and our shareholders. We believe seafloor mineral exploration is where the best opportunities lie for our company in the future. I want to be clear that we’re not abandoning our shipwreck roots. However, a successful mineral project can be worth many multiples of even the most valuable shipwreck project. Although mineral projects can take longer to reach production or outright sale of the deposit, there are opportunities to sell equity and projects at earlier stages, as we did with Oceanica. In the first year of that project we sold $27.5 million of equity in the project at a point in time that we had only invested approximately $8 million in the venture. Our team has spent the past few years quietly researching and analyzing mineral exploration opportunities around the world. Just as we did with our proprietary shipwreck database, we’ve now amassed a catalog of potential mineral targets that could prove to be very valuable, assuming we are successful with the development of these projects by not selling these mineral assets outright at early-stage valuations, we will be able to participate in the value creation that occurs with these potential opportunities as we advance from early development stage through to production. This is what we expect to occur with Oceanica and the Don Diego deposit. Also, by staying involved in these projects, we expect to have the opportunity to capture new revenue streams, initially through offshore exploration contracts targeted at gathering mining feasibility and resource assessment data and if the projects are viable, ultimately through fees generated from the oversight and management of extraction operations. In order to move forward with all of these deep ocean opportunities, we need capital. We believe that the agreement between MINOSA, Penelope and Odyssey has the potential to transform our company and increase stockholder value dramatically by not only providing the capital necessary to move forward on our current pipeline of offshore projects. But more importantly, through the potential strategic guidance and resources that we believe will be a crucial catalyst to our future success. We’ve already started this process and with the support of our new strategic investor, we recently applied for rights and have begun developments of a completely new offshore mineral opportunity that we will discuss in more detail once all rights are fully secured. As detailed in the proxy, to highly qualified individuals associated with MINOSA, Jim Pignatelli [ph] and John Abbott [ph] are proposed as candidates for Odyssey’s board of directors. Reviewing their biographies will give you a sense of why we expect these new board members to provide our management team with invaluable advice and insight to help grow our business. In a few minutes, we’ll open up the lines for questions. Due to the high volume of questions we receive and the limited amount of time we have available, I encourage you to submit questions through the web interface or by emailing ir@odysseymarine.com. Again, that’s ir@odysseymarine.com. That way, if we don’t get to your question on today’s call, we can follow up with you directly to answer your questions.
Operator: [Operator Instructions].
Mark Gordon: Operator, while we’re waiting, we’re receiving some questions in through the e-mail interface so I’ll start with those. The first question that’s come in is what is the update on Central America monetization now that Tommy Thompson has returned? My quick answer on that is we don’t believe that Tommy Thompson’s appearance has any impact on our case. Again, our rights are secured under a contract with the court-appointed receiver. And we are being paid a specified day-rate and 45% of the net proceeds. And that’s based on a very well defined monetization process that’s outlined in our court-approved contract. And we’re dependent now on the court rulings, so that our LP gets ownership of that previously recovered cargo at which point the monetization can occur. And we’re hopeful that happens within the coming months. Second question that I have through the interface are, are the four commodity shipwrecks referred to the ones announced in 2012? And the answer to that question is, no, they are not. These are four brand new targets. And we will be providing more detail on these targets as we get further information in.
Philip Devine: Hi, I received a question as follows: what fees or changes of terms accompanied the Fifth Third bank loan extension to December 15th. First off, the extension is to December 17th, but the main changes you can see note end in the 10-Q, also the full loan agreement is attached to the Q. But just to answer those questions quickly, the extension fee paid to the bank was $20,000. The other main changes in the terms and condition was that $1.4 million principle payment on the loan is due by August 31st. The remaining $6.3 million principle loan balance is due by December 17th. Early loan principle payments can be made if we have cash flows - cash inflows in excess of $1 million that are not related to our normal course of business or not related to the scheduled MINOSA financial flows of 2015. And finally, the loan maturity date can be shortened to June 9, 2015 if the Shareholders Meeting does not approve the MINOSA transaction.
Mark Gordon: Okay, and operator, I think we have some calls on line now, if you can put them through.
Operator: Yes, sir. Before we head to our phone questions, I’d like to announce to our webcast listeners that we are having some technical difficulties with our quick enhancement question button. [Operator Instructions]. We’ll take our first question over the phone from Mike Malouf with Craig-Hallum Capital Group. Please go ahead, sir.
Mike Malouf: Great. Thanks guys for taking my questions. Can we talk a little bit about cash, as obviously they’re one of the prime topics always? It sounds like you guys did a great job of decreasing the cash needs. And maybe this is just a great question for Phil can you talk a little bit about where you are right now with cash? And as you sort of look out into the remaining of the year, how that - how your cash flows will match with up with the cash on hand?
Philip Devine: Good morning. So, to address that question, the cash balance at the end of March 31st in our published financials was $700,000 subsequent to March 31st, we have had cash inflows from MINOSA of $9 million so we have lot more cash than we had in previous periods. And as you mentioned, we have been controlling our costs quite a bit in recent months and quarters, so our cash needs have come down significantly. Going forward there is another $3.75 million of cash inflows anticipated from the MINOSA loan agreement between now and June. Furthermore, we’re expecting and working on getting the shareholder approval of the transaction. If that goes through, then in the first - let’s say, if there, the initial closing on the preferred equity deal would bring in a significant amount of cash, let’s say approximately $35 million. In addition, we are expecting to monetize the SS Central America cargo in the course of 2015 which would be a significant cash inflow. And then we still have our approximately $14 million due to the parent company from our Oceanica subsidiaries, so as Oceanica develops with our new partner, we expect that that subsidiary will be able to repay its loan of $14 million to us. Given all of those assumed cash inflows we have significant amount of cash available to develop our business going forward before the next equity installments of the one, after the initial closing of 2015 would be March of 2016.
Mike Malouf: And what are your cash expenses at this point on an ongoing basis that you’ve taken it down to on a run rate basis?
Philip Devine: So, on a monthly basis, if you look at our historical for last let’s say two years, the monthly cash needs were about $3 million a month. That has come down to approximately $2 million a month at the current rate.
Mike Malouf: Great, thanks. And then, Mark, maybe you could talk a little bit about going after four targets at the same time. Do you get a lot of leverage off of that working in same shifts, basically in the same general area or I mean, talk a little bit about the trends, we haven’t seen you do that before? Thanks.
Mark Gordon: Yes, Mike, thanks for that question. Absolutely. By grouping targets we have huge economies of scale. All of that work that I mentioned finding four new targets and doing a reconnaissance on a previously located target occurred over about a 30-day period. So, there would be no way to accomplish that much work if we had transit time, significant transit time between the sites. Honestly, what we’re doing there is, you’re seeing years of our research starting to pay-off. In that we’ve accumulated this database which we’ve talked a lot about but now you’re seeing it kind of prove out. We had a delay on starting the Victory archeological recovery phase. And so what we decided to do was go to our database, look for targets that could generate significant value for shareholders and attack a cluster of them in the North Atlantic nearby where we’ll be operating on Victory. So that was the logic of why go after those targets now. And as a note from my update, as always the team just delivers amazing results out in the deep ocean. And one other thing I’ll note, the investment and technology which we noted last year for the first time, we had spent significant money on a new piece of deep search system. Obviously that investment is starting to pay-off with these kinds of results being generated in such short order.
Mike Malouf: Great. Thanks a lot. Appreciate the color.
Philip Devine: I received another question as follows. Your payables were higher than normal, end of March. Should we assume those have declined now that the ship is back out? Yes, our payables were higher end of March 2015 than previous year’s same quarter. That - and they have come down since March, our payables balance, but that is not related to the ship being back out. It’s more a sense that we have had significant cash inflows since March 11, so we have been able to pay down a significant amount of our payables since then.
Mark Gordon: And, operator, I understand you have some other calls standing by.
Operator: Our next question comes from Mark Argento with Lake Street Capital Markets.
Mark Argento: Hey, hi, Mark and Philip, just a question. In terms of the process, so obviously there is a boat, and then what happens, once assuming you get the boat, what happens in terms of this transaction with MINOSA?
Mark Gordon: Yes, Mark, that’s a good question. The simple answer on that is getting shareholder approval for the transaction is the condition precedent to being able to close the transaction. Then the investor will have a period of approximately 60 days to finalize any of their due diligence before entering into what Phil described earlier as the initial closing on the transaction. At which point, a significant amount of equity investment will come into the company. So shareholder approval, step one, and then about a - it doesn’t have to go - but they have up to 60 days roughly right, to finalize their investment decision.
Mark Argento: And the amount of cash that they have provided you today in terms of a loan or a credit agreement, what’s that number; where does that stand at currently?
Philip Devine: The current amount that they provided to the date of this call is $11 million on the loan facility.
Mark Argento: Got you. And then in terms of getting through the process in Mexico with the environmental agencies and various permitting groups there, just maybe give us a quick overview as to where that stands internally.
Philip Devine: Sure, the environmental agency, SEMARNAT, has a process whereby you have to submit a pretty extensive environmental impact assessment. Our original submission, I should say, was roughly 4,600 pages of environmental and scientific information outlining any potential environmental impacts. Subsequent to that your application is reviewed. A series of questions came back on the 4,600 page submission and we’ve subsequently now replied to those, adding about another 1,000 pages of scientific and environmental information to the record. And then from this point forward, SEMARNAT has a period of time, which we’ve been advised runs until about late June this year, to finalize their decision on the environmental approval. Coming into this, the way the regulations work in Mexico, we had already been granted a 50-yaer mining and exploration license, but the environmental approval must be obtained before any extraction work to begin on the site.
Mark Argento: Great, and then just moving over in terms of Victory, I know you had mentioned that it continues to take - run the course, obviously it’s taken a lot longer than we anticipated. I know there were some elections recently, last week in particular. Could you talk about the political environment over there and if that has any impact in your guys ability or I should say the trust ability there to move ahead with the project?
Mark Gordon: Yes, I’m going to be very careful to refrain from political comments, Mark. But the project should not be about politics. It should be about saving maritime cultural heritage. However, from a practical standpoint, Michael Fallon, the former Defense Secretary, who is already familiar with the Victory project, has again been appointed Defense Secretary. So the Maritime Heritage Foundation will not need to spend a lot of time bringing him up to speed, so we see that as a very good thing. After we get the MoD approval, which comes from Mr. Fallon, we are just been waiting the Marine Management Organization approval. Their mandate is more of an environmental nature and we don’t anticipate any significant issues there.
Mark Argento: Great. That’s it for me. Thanks.
Mark Gordon: Thank you, Mark.
Operator: [Operator Instructions]
Philip Devine: All right, operator. I have another through the web interface. The question is, it seems public support and interest in Odyssey were improved through your television series Treasure Quest and Silver Rush, are there any plans to revisit this strategy? Well, the answer on that is, we’re always interested in involving ourselves with quality public relation effort certainly television of the nature and type of discovery, TV produces is something that’s always of interest to us. We currently have no plans for immediate shows, but we’re always filming while we’re out at Odyssey, because you never know when the next amazing thing is going to happen out there, so I’ll use my patented line, stay tuned on that one as well.
Operator: And we’ll take our next phone question from Bob Evans with Pennington Capital.
Robert Evans: Hi. Thanks for taking my question. Can you comment about the project, if you do get environmental approval, how do things - how will you generate revenue or how are project - how your partnership generate revenue, and how should we kind of think about that big picture looking a year or two out assuming environmental approval comes?
Mark Gordon: Yes, Bob. We haven’t commented too much on the specifics. But generally speaking, the product that will be extracted is a form of phosphate. The base level sellable product in the world market is something called Rock Phosphate, that generally is, when you get your phosphate refined to the point that the key ingredients for P205 is at a level of, say, 29% to 31%. And what I can say is that, there are definitely high-grade pockets associated with this resource that once we have, the necessary approvals would move us into a production - a business that could - would have a sellable product essentially. So I can say a lot more in detail on that right now, it’s just a little premature to comment. And I will remind everybody listening in, please stay on and listen to the operator’s - the operator’s comments on Industry Guide 7, there is very strict limitations on what we could say at this point in the project, so...
Robert Evans: Is it fair to say from a business model standpoint assuming approvals occurred that you’re going to have consistent revenue and operating margins less profit versus kind of the lumpiness that you have had in the past with the various shipwreck exploration that you’ve done?
Mark Gordon: Yes, again, I’ll comment generally the difference between mineral projects and shipwreck projects is, I guess, we will get to a point mineral projects, where you would have a steady annual and fairly predictable revenue. But we’ve got a long way to go before we get to that level on this particular project. But absolutely, as you look ahead, that’s what this strategy is all about taking out the sort of highly episodic results from this business and generating income either through developing and then selling resources once approved or by operating them and generating significant recurring revenue year-over-year.
Robert Evans: Okay. Thank you.
Mark Gordon: You’re welcome.
Philip Devine: Another question came in the web is the question, Odyssey, have you repaid the $1.4 million for the wind down of the Robert Fraser project? And a follow-on question was, why was it $1.4 million, not $1.8 million that you show as a liability on your balance sheet? So this is a cash advance we received from the Robert Fraser Charlesworth Group many years ago to perform a shipwreck recovery and exact exploration on a code-named shipwreck called Enigma off the Coast of Lebanon, because of geopolitical situation in the region, we were not able to complete the work, we performed part of the work, but we were not able to complete the work. We entered into a discussion both parties wanting to enter into discussion over the last few months, whereby we agreed to return $1.4 million of the $1.8 million that they had advanced us, because we are terminating the project early, we get to keep $400,000 of it. We’re keeping the whole liability on the book to right now and we have entered into an agreement to pay this off on a monthly basis during the course of 2015.
Mark Gordon: Operator, I understand you have another call standing by.
Operator: And we will take Paul Rankin with VSA Capital.
Paul Rankin: Yes, gentlemen, thank you for the update on quarterlies here. I did have some question specifically about your mineral exploration side of the business. If you could comment in a general sense, first of all, about how you foresaw the priority of the mineral exploration side of the business in five years’ time versus the recovery shipwreck side of the business. Second of all, whether or not there was any government interest in actually leasing your capabilities on a country-wide offshore program? And thirdly, was there any specific geographic area that you consider to not to be looking-at at the current time due to security or sea condition sorts of parameters which would make it either more dangerous for recovery efforts on mineral exploration to take place? Okay.
Mark Gordon: Yes, well, let me start with the last part of your question first. Essentially, we’re always sorting for geopolitical, weather or other issues that would adversely impact operations. So yes, there are certainly some areas we would stay away from. Right now, the ones that come to mind would be Eastern Africa and the eastern most part of the Mediterranean at this moment. But that leaves a pretty big playing field and coming back answering the first part of your question, then I kind of alluded to this in my prepared comments, we see mineral exploration as a very big part of our future. We’re going to continue to do shipwrecks but we’re going to be much more selective about shipwrecks and it’s for the reason I mentioned. These mineral projects can all be orders of magnitude more valuable than any one of our most valuable shipwreck project. The other thing I’d comment on is that so far we’re finding the regulatory regime much more understandable in mineral exploration. Governments have very well defined regulation regimes we’re dealing with applying for licenses, conducting exploration, the environmental approvals necessary et cetera. By contrast, shipwrecks are custom one-off approvals almost always and trying to get a custom one-off approval from any government as you can imagine is a bit of a challenge and as our investors have seen over the years. So mineral exploration, to answer your question more directly, I’d say, within five years we’re definitely going to be more heavily weighted towards that. And to the part of that for the reason that the question highlighted from the earlier caller brought out, which is here you have the ability to create tremendous recurring revenue streams ultimately. But then everything I’m saying here, please, listen carefully to the Industry Guide 7 disclaimers at the end of this call. I think the other part of your question was about how we’re sorting for these projects. And right now, other than, if there are political and weather issues, what would tree-on [ph] such a project and brings it to the top of our list? We’re targeting projects where recovery mechanisms already exist and/or their strategic reasons. In other words, someone has already made a big investment in the space that’s a large player and even if the recovery equipment doesn’t exist we have high confidence it will given the other investments that are being made in this space. And then another part of your question, I believe was have we been contacted by any governments, and the question is, absolutely yes. We’ve been engaged in dialogs with several different world governments, all of who recognize that in a very general sense the future of minerals required for their countries lies off-shore and it’s pretty straight forward, 70% of our earth is under the ocean and most of the minerals we’ve been mining on the earth’s surface for a couple of thousand years come from being produced out in the ocean because of geological phenomenon that occur out there. So, yes, we’re actively engaged and some of the discussions do involve the potential to partner with or just provide services under contract to those governments. I think I hit all elements of your question, Paul. Did I?
Paul Rankin: Yes, you have pretty hit this. Thanks.
Mark Gordon: Okay.
Operator: At this time there are no further questions in our phone queue. I would like to turn the call back over to Mark Gordon for any closing or any additional remarks.
Mark Gordon: Okay. Thanks, operator, and thank you, everyone, for participating in today’s call. There is an awful lot of information out there. Your proxy, if you haven’t already received it, you soon will. As I asked during my prepared comments, we would appreciate you supporting and voting the way management is recommending which is voting for all proposals. Again, I mentioned several times now, we have a proxy solicitor, their information is contained within the proxy and they can help you and assist you if you need any assistance in voting your proxy. And with that I would like to conclude today’s call and thank everyone for their time with us today.
Operator: Before we conclude today’s presentation, I would like to take a moment to read the company’s Safe Harbor statement that provides important cautions regarding forward-looking statements. Odyssey Marine Exploration believes that the information set forth during this conference call may include forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, Section 27A of the Securities Act of 1993, and Sections 21E of the Securities Act of 1934. Certain factors that could cause results to differ materially from those projected in the forward-looking statements are set forth in Risk Factors in Part I, Item 1A of the company’s Annual Report on the Form 10-K for the year ended December 31, 2014, which was filed with the Securities and Exchange Commission on March 16, 2015. The financial and operating projections as well as the estimates of mining assets are based solely on the assumptions developed by Odyssey that it believes are reasonable based upon information available to Odyssey as of the first day of this release. All projections and estimates are subject to material uncertainties and should not be viewed as prediction or assurances of actual future performance. The validity and accuracy of Odyssey’s projection will depend upon unpredictable future events, many of which are beyond Odyssey’s control and, accordingly, no assurance can be given that Odyssey’s assumptions will prove true or that its projected results will be achieved. I would like to take a moment to read an important cautionary note to U.S. investors. The U.S. investors Securities and Exchange Commission, SEC permits mining companies, in their filings with the SEC, to disclose any mineral deposits that a company can economically and legally extract or produce. We may use certain terms during this conference call, such as measured, indicated, and inferred resources, which the SEC guidelines strictly prohibit us from including in our filings with the SEC. Inferred mineral resources have a great amount of uncertainty as to their existence, and a great uncertainty as to their economic and legal feasibility. It cannot be assumed that all or any part of the inferred mineral resource will ever be upgraded to a higher category. U.S. investors are cautioned not to assume that that part or all of the inferred mineral resource exists, or is economically or legally mineable, and are urged to consider closely the disclosure in the Form 10-K, which you can - which may be secured from us or from the SEC’s website at www.sec.gov/edgar.shtml. Odyssey does not necessarily undertake to update any forward-looking statements as a result of new information or future events or developments. I would like to remind everyone that this call will be available for replay through June 11, 2015 starting in about two hours. Please refer to Odyssey’s first quarter financial results press release for telephone and webcast replay instructions. The replay information will also be available via the company’s website at www.odysseymarine.com. Thank you for joining us for today’s presentation. This concludes today’s call, and you may now disconnect.